Operator: Ladies and gentlemen, thank you for standing by. Welcome to the American Tower Corporation First Quarter 2020 Earnings Conference Call. [Operator Instructions] As a reminder, today's conference is being recorded. I would now like to turn the conference over to your host, Igor Khislavsky, Vice President of Investor Relations. Please go ahead, sir.
Igor Khislavsky: Good morning, and thank you for joining American Tower's First Quarter 2020 Earnings Conference Call. We have posted a presentation, which we will refer to throughout our prepared remarks under the Investor Relations tab of our website, www.americantower.com. Before the rest of my comments, I'll note that due to COVID-19, all of us on the call this morning are dialing in remotely from different locations. So to the extent there are any minor technical difficulties on the call, we would ask that you bear with us. Our agenda for this morning will be as follows. First, I'll quickly summarize our financial results for the first quarter. Next, Tom Bartlett, our President and CEO, will provide some brief commentary on our U.S. business. Next, Rod Smith, our Executive Vice President, CFO and Treasurer, will discuss our Q1 2020 results and updated 2020 outlook. And finally, our Executive Chairman, Jim Taiclet, will share a few closing remarks. After these comments, we will take your questions. I'll remind you that this call will contain forward-looking statements that involve a number of risks and uncertainties. Examples of these statements include: our expectations regarding future growth, including our 2020 outlook, capital allocation and future operating performance, our expectation regarding the impacts of COVID-19, our expectations regarding the impacts of the AGR decision in India, and any other statements regarding matters that are not historical facts. You should be aware that certain factors may affect us in the future and could cause actual results to differ materially from those expressed in these forward-looking statements. Such factors include the risk factors set forth in this morning's earnings press release, those set forth in our Form 10-K for the year ended December 31, 2019, and in other filings we make with the SEC. We urge you to consider these factors and remind you that we undertake no obligation to update the information contained in this call to reflect subsequent events or circumstances.  Now please turn to Slide four of our presentation, which highlights our financial results for the first quarter. During the quarter, our property revenue increased 10.5% to nearly $2 billion. Our adjusted EBITDA grew by 14.1% to $1.3 billion. And our consolidated AFFO and consolidated AFFO per share increased by roughly 5% to $907 million and $2.03, respectively. These consolidated AFFO metrics were impacted by a onetime cash interest charge of approximately $63 million associated with our purchase of MTN's minority stakes in each of our joint ventures in Ghana and Uganda during the quarter. Absent this onetime item, consolidated AFFO and consolidated AFFO per share would have grown by more than 12%. Finally, net income attributable to American Tower Corporation common stockholders increased by roughly 4.4% to $415 million or $0.93 per diluted common share. And with that, I'll turn the call over to Tom.
Tom Bartlett: Thanks, Igor, and good morning, everyone. I hope you are all staying safe and well. Typically, in our first quarter earnings call, we would talk exclusively about our U.S. business, and how it is positioned in the market. But given that there is nothing typical in the world in which we live today, I'd like to first discuss how we are navigating the COVID-19 pandemic, including its historical impact on the global economy. Our number one priority continues to be the health and safety of our employees, their families, our tenants, suppliers and surrounding communities. Most of our team members globally are working from home. To facilitate this, we bolstered our IT environment to support more remote work and established alternative business processes and solutions to overcome the need to have work accomplished from our office or at our established operational centers. We're practicing social distancing in a few instances where certain employees need to be in the office and have provided added equipment and supplies for those considered essential and needed to be out in our sites supporting our tenants. We're also in the process of establishing our overall guidelines and procedures for an eventual return to work in our offices across the globe. These guidelines will adhere to government directives and be supplemented by reasonable and practical criteria based on local situational needs and circumstances. The reopening process will be based on safety readiness levels and will not commence until I'm certain we have complete access to the necessary critical resources and supplies. I also want to emphasize that while immersed in all this activity and uncertainty, relative to just how long this crisis will last, we remain focused on continuing to meet the needs of our tenants. To that end, I want to note that to this point, the direct effects of the virus on our core business outside of translational FX impacts have been modest. While we're continually monitoring the COVID-19 impacts, our business model globally has demonstrated its resiliency and stability. Now more than ever, our infrastructure is incredibly critical to ensure our tenants are able to keep their customers connected. As a result, in many of our served markets, including the United States, we have received official priority designations that enable tower-related work to continue, largely uninterrupted. In a few locations, we have experienced some limitations and restrictions, particularly with respect to new builds and other discretionary tower work. In fact, in certain locations, new construction is currently prohibited. While these impacts have so far been modest, we do expect some slight delays in our new build pipeline and colocation activity in certain areas, but do believe these delays will be temporary. All in all, our business and operational focus will continue to be to prioritize actions, projects and capital allocation initiatives that extend, deepen and secure connectivity throughout our served markets. We are proud to help deliver meaningful connectivity to billions of people around the world at an important time like this and are focused on maintaining its continuity. This then brings me to the original topic I wanted to cover with you this morning, and that's of our business here in the United States. In 2020, at the midpoint of our outlook, our U.S. business is expected to represent about 57% of our consolidated property revenues and around 2/3 of our consolidated property operating profit. The U.S. operation is the foundation of our consolidated business and will continue to be for many years to come. Mobile data usage growth of at least 30% per year has driven significant levels of colocations and amendments on our U.S. assets over the last decade. And we expect that growth to continue for the foreseeable future. In fact, according to industry estimates, the average U.S. smartphone user consumed around nine gigabytes per month in 2019, which is up some 450% from just five years ago. Incredibly, by 2025, that same user is projected to consume over 45 gigabytes per month. To account for the strain that this usage growth will create on mobile networks, we believe that our tenants will continue to invest significant amounts of capital into our infrastructure. Over the last five years, this spending has averaged upwards of $30 billion per year. In fact, it's increased over the past 20 years as each new technology generation has been deployed, dating back to 2G. And we would expect that number to remain steady, if not rise, over the next few years, particularly given the recent completion of the Sprint, T-Mobile merger. A significant portion of our tenants' network investments in future years is expected to be 5G focused. And I'll take some time to cover our latest high-level thoughts around 5G and what that might mean for our business in a moment. But first, I'd like to spend a few minutes laying out the key characteristics and return profile of our U.S. business. Our U.S. portfolio, comprised of nearly 41,000 sites, has been created over the last 20-plus years through a number of M&A transactions, complemented by our internal new build program. We've consistently focused on sites with premier locations, significant capacity for lease-up, attractive land lease arrangements and modest requirements for ongoing maintenance CapEx. Perhaps the single biggest driver of value in these assets over the long-term has been the tenant lease contracts or master lease agreements that accompany them, which we have purposely designed to both deliver compelling value to the tenant and secure attractive economics for American Tower. Our requirement for exclusive franchise real estate locations in mission-critical areas has supported our ability to implement these contract structures to generate a consistent, recurring, growing base of cash flow. As you can see on Slide 6, that focus on tower and other franchise real estate assets has resulted in sustained attractive organic tenant billings growth for American Tower, averaging more than 6% over the past five years. The combination of strong colocation and amendment trends, annual contractual escalators and consistently low churn in the U.S. have been key drivers of this growth, as we've capitalized on the deployment and densification of 4G networks across the country. We've translated this strong organic tenant billings growth into attractive NOI yields across our portfolio, particularly for assets that we've owned over the long-term. For example, we're generating yields of 24% on sites we owned prior to 2005 and yields of 17% on sites added to the portfolio from 2005 to 2010. On assets added after 2010, including those from our GTP and Verizon transactions, NOI yields averaged around 6% as of the end of the first quarter. We believe there is significant upside in this vintage of sites as additional equipment is deployed, particularly given the expected acceleration of 5G rollouts over the next few years. Our U.S. tower leadership team has done a terrific job managing our base of assets in the U.S., having locked in more than $28 billion in contractually committed revenue as of the end of the first quarter. Margins in this business, including all of the M&A completed over the last several years, have continued to expand with the property segment operating profit margin coming in at nearly 79% in Q1, accompanied by cash SG&A as a percentage of revenue of just 4.1%. Additionally, our U.S. business ROIC has continued to rise over the last 10 years, while we have nearly doubled our asset base. We now have around 3,000 tenants in the U.S., including a vertical segment focusing on nontraditional tenants. This segment, although still in relatively early stages of development, generated more than 15% of our non-MLA related U.S. [new] [ph] business in the quarter. From an operational perspective, over the past year, our U.S. team has been focused on automating tasks to reduce cycle times, implementing a fleet of drones to secure more accurate data on our sites and implementing several new innovative contract structures, providing process efficiencies for both ourselves and our tenants and reducing the need for site-specific evaluations. From a macro industry perspective, over the next few years, we see several trends unfolding in the U.S. First, we believe the cloud is going to come closer to the edge. Second, 5G will be deployed using a number of different spectrum bands, depending upon the specific areas coverage and capacity requirements, which will look like as somewhat labeled, like a 3-layer cake, opening up the network to allow for a multitude of different customer experiences. And third, the variety of end-user devices and applications is expected to grow faster than we could possibly imagine. In addition, much of this activity should enable our customers to be able to wirelessly transmit data at a lower cost per bit. The overall increase in our tenants resulting value proposition, driven by continued 4G and new 5G network deployments on our infrastructure, will, we expect, continue to increase our NOI yields and returns on invested capital. While we expect to have 4G-related infrastructure on our sites for years to come, we believe ubiquitous 5G deployments are also on our doorstep. What is interesting is that, in fact, each of the major carriers have initially deployed 5G in their own unique ways. Multiple spectrum bands have been and will continue to be deployed, spanning the range from high-band millimeter wave in cities to low band, like 600 megahertz, in rural areas and will ultimately be coupled with mid-band spectrum to support their customers' needs around suburbs and highway corridors. Importantly, we continue to believe that the majority of the sub-6 gigahertz spectrum deployments throughout the country will be on macro towers, and that mid-band spectrum will be a critical component of our tenants' 5G networks. We continue to expect mid-band deployments to accelerate beginning in the second half of this year as the new T-Mobile builds out more of its 2.5-gig spectrum for the foreseeable future. As I mentioned, we also expect spending on 4G networks to continue, given that the migration of the user base from 4G to 5G will take a number of years. Bottom line, we believe that as a result, a tremendous amount of incrementally more complex equipment should end up on our towers across the U.S. over the next five to 10 years, allowing our business to continue to excel. As I mentioned, we believe that over the next several years, the cloud is going to get closer to the edge. We're already seeing this trend from the major hyperscalers, and as a result, continue to evaluate the opportunities that might be there for us. What will also be interesting is how the hyperscale and cloud service providers will interact and position themselves with the carriers. So as a result, we continue to explore trials and partnerships with a variety of different players, including hyperscalers, cloud service providers, carriers, data center companies and equipment suppliers to see just how our infrastructure may plug into this new environment. Using our existing set of assets on the edge data center front, we continue to learn about the rapidly evolving edge ecosystem through our ownership of the metro interconnect facility in Atlanta and initial deployments of several trial edge data facilities at our tower sites. At a high level, we continue to believe that as information generation and processing progressively moves to the network edge, particularly with respect to advanced IoT applications, there will be a greater need for lower latency through distributed storage and compute functionality in close proximity to both wireless and wireline end consumers. Edge compute offerings may eventually serve autonomous vehicle networks, interactive and immersive media delivery, cloud gaming and any number of other products and services where lower latency is a must and/or data needs to be closer to the consumer machine, where we believe the opportunity for us can truly scale. And while the potential for a scaled mobile edge solution is likely several years away, we are seeing initial positive indications of customer interest in our assets and are also having numerous conversations with a number of parties that are likely to play a significant role in the edge going forward. One such example is with Microsoft through their Azure Edge Zones program, where we are now a named partner. As time goes on, we are hopeful that other partnerships will develop to help us accelerate the development of the edge data model. On the indoor connectivity side, we continue to explore ways to leverage carrier-grade Wi-Fi, 4G, 5G and CBRS spectrum to create converged networks. These targeted neutral host solutions can make sense in a much broader array of venues than traditional DAS. So in other words, drastically increasing the total addressable market. We've been part of the CBRS alliance for many years and have several CBRS-based deployments throughout the country. As demand for better, faster and more secure network connectivity continues to accelerate in apartment buildings, class A office space and other similar locations, we are positioning American Tower to hopefully play a meaningful role in satisfying that demand. Here, again, we are likely at least a few years away from potentially scaling CBRS-based neutral host systems but are already seeing positive indications of demand for fixed wireless access, private networks and other solutions in these types of locations. As we look at these and other U.S.-based innovation opportunities, I want to underscore that our investment criteria and philosophy remains the same: we are looking for scalable, exclusive, multi-tenant franchise real estate digital infrastructure opportunities that have the potential to deliver consistent, sustainable, recurring growth for us with returns that rival those of our existing tower model. Taking these innovation initiatives together with our high-performing existing U.S. business, we are energized about the future. The secular trends driving demand for space on our franchise real estate assets continues to accelerate, and we believe we are optimally positioned to convert that demand into attractive total returns for our stockholders over the long-term. Further, our business has performed extremely well through a variety of economic and capital market cycles, and we are confident that American Tower will again stand and deliver through the current turmoil. With that, I turn the call over to Rod to go through our results for the quarter and our updated full year outlook. Rod?
Rod Smith: Thanks, Tom, and good morning to everyone on the call. Thank you for joining. Before I dive into our first quarter results, I'd like to also take a moment and acknowledge the COVID-19 pandemic that is affecting all of us. My thoughts and best wishes go out to our employees, tenants, vendors and to each of you on the call this morning. I hope you all are safe and healthy through this difficult time. Let's now turn to our first quarter results. As you saw in today's press release, we began 2020 with a solid quarter, as mobile data consumption continued to grow across the globe. In fact, in many of our markets, particularly internationally, mobile data traffic has increased as a result of COVID-19, highlighting the importance of wireless services everywhere and the critical nature of our global portfolio of communications real estate. To start, I'd like to note a few of our first quarter achievements. Specifically, we met our expectations for organic tenant billings growth rates across the globe, led by Africa at 9.3%, Latin America at 7.5% and the U.S. at 5.6%. We grew our property revenue in tenant billings by more than 10%. We expanded our adjusted EBITDA margin by 230 basis points over the prior year. We made substantial progress integrating the more than 8,000 sites we acquired at the end of 2019 in Africa and Latin America. We've built approximately 1,000 new sites. We strengthened our balance sheet and now have $5.4 billion of liquidity pro forma for our new term loan from earlier this month. And we grew our common stock dividend by 20% again. Before we discuss the details of our full year outlook, let's first spend a few minutes reviewing our financial and operational results for the first quarter. Please turn to Slide 8, and we will review our property revenue and organic tenant billings growth. For the quarter, you can see that our underlying growth remains solid throughout our markets. Due to strong demand for our assets across the globe and on an FX-neutral basis, we met our internal expectations for revenue. As Igor mentioned earlier, our first quarter consolidated property revenue of approximately $1,970,000,000, grew by $187 million or 10.5% over Q1 of last year. This included a headwind of roughly $48 million from unfavorable FX translations. Our U.S. segment represented 55% of both our consolidated property revenue and the corresponding growth, while our international segments accounted for the remaining 45%. As always has been the case, the critical components of our consolidated property revenue are those items that impact our recurring tenant billings revenue, including around $79 million in colocations and amendments, a similar level to prior quarters. Our consistent and reliable contractual escalators, which added $50 million, our day one incremental tenant billings resulting from our returns-based and disciplined capital investments, which contributed $72 million and includes M&A and new builds. These positive items were partially offset by lease non-renewals or churn, which reduced our tenant billings revenue by $49 million for the quarter. Looking at our major business segments; our U.S. property segment revenue totaled nearly $1.1 billion for the quarter and grew by $104 million or 10.5% over the prior year period. Our international property revenue of $883 million grew by $84 million or 10.5% over last year's levels. As expected, we saw solid demand from our major carrier tenants around the globe. This demand was driven by the carriers' need to continually invest in their networks in order to keep pace with the exploding growth in mobile data consumption. Moving to the right side of the slide, you will see that our consolidated organic tenant billings growth also met our expectations, coming in at 5.4% for the quarter. For our U.S. property segment, organic tenant billings growth was 5.6%, comprised of new business activity, which totaled 4.5%; pricing escalators, which totaled 3.3%; and churn of 2%; and a roughly 0.3% negative impact from other items, which partially offset the items I mentioned above. As expected, this growth rate reflects a deceleration from prior quarters, partially driven by the impact of the pending Sprint, T-Mobile merger had on new business activity levels. Now that the merger has closed, we stand ready to support the new T-Mobile as it begins to invest significant capital and to perform the earnest work of integrating two complex networks, deploying diverse spectrum holdings and servicing more than 100 million subscribers, all while preparing for a 5G future. Regarding our international segment, organic tenant billings growth was 5.1%, led by Africa at more than 9% and Latin America at 7.5%. Europe totaled just about 2%, while India came in with a decline of around 1%, which was in line with our expectations, given anticipated churn and market conditions. The component parts of our international organic tenant billings growth were new business activity, which totaled 7%; our mostly local inflation-based pricing escalators, which totaled 3.6%; other items, which contributed around 20 basis points and partially offsetting these increases was churn of 5.8%, largely attributable to previously anticipated cancellations in India. Turning to slide nine. You can see our first quarter consolidated adjusted EBITDA of nearly $1.3 billion grew by $157 million or 14.1% over the prior year period. As a result of our continued focus on driving organic growth, adding new assets and managing costs throughout our business, our adjusted EBITDA margin was 63.8% for the quarter, which was up 230 basis points compared to Q1 of last year. I will also note that these results include the impacts of around $16 million in incremental bad debt recorded in India due to some slow payments of accounts receivable from certain tenants, including government-owned BSNL. We think it's likely we will collect these receivables in the future, but for now, we have provided for them by increasing our bad debt reserves. In addition, our adjusted EBITDA growth was negatively impacted by approximately $26 million or 2.3% for FX fluctuations as compared to Q1 of last year. Our U.S. property segment operating profit of $858 million grew by $105 million or nearly 14% over the year-ago period, while our international property segment operating profit of $448 million grew by $62 million or 16% over last year's level. As a result, our U.S. segment represented 66% of our property segment operating profit in the quarter and 63% of the corresponding growth, while international accounted for the remaining 34% and 37%, respectively. Moving to the right side of the slide, you can see our consolidated AFFO of $907 million grew by $45 million or 5.3% over the year-ago period. Our consolidated AFFO per share of $2.03 grew by $0.09 or 4.6% over last year's levels. It is important to consider that the consolidated AFFO results include the impact of a onetime cash interest expense charge totaling $63 million as a result of our purchase of MTN's stake in each of our joint ventures in Ghana and Uganda. Absent this non-recurring charge, our consolidated AFFO and AFFO per share growth would have been 12.6% and 12.4%, respectively. As a reminder, we now expect a gap between consolidated AFFO and AFFO attributable to common stockholders to be modest in future years as a result of these minority stake purchases and our expected purchase of the remaining Tata stake in our India business, which is anticipated for later this year. Moving to Slide 10, let's now take a look at our updated expectations for 2020. To start, I will address a few of the business issues that require careful consideration as we updated our full year outlook. First and foremost is the COVID-19 pandemic. Although its full year impact on the world is not yet known, to date, on a constant currency basis, we have experienced only modest impacts. In fact, in many of our international markets, markets that have little or no fixed line infrastructure, our tenants are actually seeing increases in mobile data consumption across their networks, which may increase demand for our sites over time. As stated earlier, this highlights the world's growing reliance on wireless services and evidences the critical nature of our global portfolio of communications real estate. With that said, COVID-19 has caused global financial turmoil and material moves in many foreign exchange rates relative to the U.S. dollar. Of course, these FX moves are having a negative impact on our updated full year outlook. I'll discuss the detail of those impact shortly. But in the general context of the current FX volatility, I will note that we routinely review our hedging policies and often engage with the help of specialized external advisers in doing so. Although we have hedged purchase prices for certain international transactions in the past, historically, we have concluded that the potential benefit of actively hedging our ongoing translational FX exposure are not worth the real economic cost. Instead, we rely on natural hedges such as the portfolio effect of our '19 markets, our reinvestment of locally generated operating cash flow through new builds and M&A activity and select issuances of local currency debt. In addition, most of our tenant leases in international markets have annual local inflation-based escalators or are denominated in U.S. dollars. At this stage, we do not anticipate any significant changes in our approach to hedging, but as always, we continue to evaluate our options. Next, in the U.S., T-Mobile recently completed its merger with Sprint. As a result, we continue to anticipate an acceleration of spending from the new T-Mobile to begin in the second half of the year. In addition, beyond 2020, we believe this industry shift may result in a sustained increase in wireless industry capital spending as 5G deployments ramp and Dish supported its network. We believe we are well positioned to benefit from the future 5G deployments as carriers continue to focus on network quality. Finally, in India, the Supreme Court recently reaffirmed the fees, penalties and interest assessments associated with the previous ruling on the definition of adjusted gross revenues. Although the total liability has been reaffirmed, we don't yet know the pacing and duration of the required payments on the part of the carriers, particularly in the context of the current COVID-19 situation. Taking these updated considerations and our assessment of market conditions into account and based on the proven resilience of our global business, our total property revenue outlook on a constant currency basis is unchanged. However, foreign currency exchange rate fluctuations as compared to our prior outlook are expected to negatively impact reported property revenues for the full year by approximately $300 million. For organic tenant billings growth, we are reiterating our outlook across most of our geographic segments. However, for Africa, we now expect organic tenant billings growth of around 9% for the year, down from 11% in our initial outlook. This is being driven by a reclassification of certain revenues out of tenant billings rather than a shift in the underlying fundamentals of our Africa business. Looking at Slide 11, you will see that we are also affirming our underlying expectations for adjusted EBITDA at the midpoint of our outlook outside of an FX translational impact of approximately $165 million. This includes the expectation that cash, SG&A as a percent of total revenue will be right around 8%. Lastly, we are reiterating our expectations for consolidated AFFO for the year on an FX-neutral basis. We continue to carefully manage our cash interest expense and cash taxes, while converting the vast majority of our cash adjusted EBITDA growth into consolidated AFFO growth. As a result, outside of roughly $140 million or $0.32 per share and unfavorable FX translation impacts, our consolidated AFFO and AFFO per share projections are unchanged. Although we are not surprised by how well our business has performed during the COVID-19 pandemic, we will continue to monitor events closely as the full impacts of this crisis develop. I would also note that to the extent that local market measures, like shelter-in-place orders are prolonged, we could eventually experience some timing issues regarding new business commencements, new builds or even accounts receivable collections. Flipping to Slide 12, I'd like to now briefly discuss our capital allocation plans for the year, which remain broadly consistent with our prior view. Our full year dividend declaration, subject to the approval of our Board, is expected to be approximately $2 billion, resulting in an annual common stock dividend growth rate of right around 20% once again. We also expect to deploy $1.2 billion towards our CapEx program, with 85% of that investment being discretionary. As a result of COVID-19 and the associated FX impacts, we now expect a reduction of $50 million from our prior CapEx outlook. This includes a $30 million reduction in redevelopment CapEx, $5 million in lower maintenance CapEx and $15 million in lower development capital spending, in part due to a delay of construction of approximately 1,000 new builds in India. In the first quarter, we deployed $524 million to buy MTN's minority stakes in each of our joint ventures in Ghana and Uganda and have earmarked another $328 million at March 31, 2020, exchange rates for our pending purchase of Tata's remaining interest in our India business. In addition, we have spent roughly $49 million on other M&A so far this year and have deployed about $55 million through April 22 to share repurchases. Given our strong balance sheet and current liquidity, we expect to fund the entirety of our 2020 capital deployment plans with cash on hand, cash from operations and modest levels of revolver borrowings. We also expect to explore additional opportunities to extend and ladder our debt maturities and reduce our overall cost of borrowings. As a result, we anticipate continuing our long track record of generating strong consolidated AFFO per share growth, while simultaneously growing our return on invested capital. Turning now to Slide 13, I will briefly summarize the strength of our investment-grade balance sheet and our current liquidity position, which we believe is unmatched in our sector. As of the end of the first quarter, we had more than $1.3 billion in cash and $2.9 billion available under our revolving credit facilities. Subsequent to the end of the quarter, we completed an additional one year term loan of nearly $1.2 billion, increasing our liquidity on a pro forma basis to more than $5 billion. Our net leverage at the end of the quarter was 4.6 times, in line with our targeted range and consistent with our historical levels. Our weighted average cost of debt was around 3.1%, and our weighted average debt tenor was over five years. Regarding our debt maturities for 2020, subsequent to the end of the quarter, we announced the redemption of our $750 million, 2.8% unsecured notes, leaving us with just $350 million in the remaining maturities this year. As a result of our prudent financial policies that have been implemented and enhanced over the last decade and the overall stability and resilience of our business, we believe we are in an extremely strong financial position amid the current market turmoil. We expect this to enable us to continue to be opportunistic with respect to investing and growth, including M&A opportunities on a global basis. If you would please turn to slide 14, I will conclude my comments with a brief summary. Despite the global pandemic, we had a good start to 2020 as we achieved solid organic tenant billings growth, expanded our margins and ROIC, started integrating the portfolios acquired at the end of 2019 and once again, increased our quarterly dividend by 20%. We further strengthened our investment-grade balance sheet, increasing our current liquidity to $5.4 billion and positioning ourselves to comfortably fund our 2020 capital deployment plan, while expanding our global power portfolio through opportunistic M&A. And finally, outside of the translational FX impacts of the COVID-19 pandemic, our outlook remains largely unchanged, highlighting the critical nature of wireless services everywhere as mobile data consumption continues to grow at a dramatic pace across the globe. With that, let me turn the call over to Jim.
Jim Taiclet: Thanks, Rod, and good morning, everyone. To each of you on the call today, I wish you and yours a safe and healthy path to the COVID-19 pandemic. As Tom stated earlier, our top priority in American Tower is the health and safety of our global workforce. Our dedicated employees and managers throughout the company are committed to keeping critical telecommunications infrastructure fully operational and functional in their communities. The senior executive team and management throughout ATC are doing everything they can to support our global teams in this essential work. Our company is also contributing to those communities financially through our philanthropy and CSR programs and through the American Tower Foundation. This includes everything from working in Boston, Massachusetts with local and state support funds for citizens in need, to funding and donating PPE to health workers throughout the U.S., to helping with the government of India's COVID-19 recovery fund and many more. In addition, Commerce Secretary Ross and I have agreed to immediately pivot the entire near-term work effort of the U.S.-India CEO Forum, which we co-chair, toward COVID-19 relief and recovery efforts in the world's two largest democracies. We are fully engaged with the GOI and our Indian counterpart companies in this effort. As ATC's Executive Chairman, I have been offering guidance regarding our COVID-19 response, while also working very closely with Tom to ensure a smooth and seamless management transition. As I move toward completing my nearly 20-year tenure at American Tower, I am tremendously confident in three key respects: Tom's ability to lead our highly capable executive team and the business into a successful and prosperous future, the continuing vibrancy of our Stand and Deliver strategy and its ability to deliver strong performance and returns to our investors and that the ongoing demand drivers for mobile infrastructure will underpin strong growth for ATC for many years to come. Lastly, I would like to thank our investors and analysts, many of whom are on this call today, for your confidence in our team during the many years that I have been privileged to lead it. I fully expect that Tom will now lead the company, along the trajectory of our Stand and Deliver strategy, to even greater heights in the future. And now I'll turn it back over to Tom for some closing thoughts before we go to Q&A.
Tom Bartlett: Hey, thanks, Jim. Before we move on to Q&A, I'd like to first recognize our Board Chairman, Jim Taiclet, for his incredible leadership, judgment and friendship over these last 20 years. Over that period, our business has grown from operating in just three markets, generating about $1 billion in revenue with 15 sites to where we are today. That, in and of itself, is amazing and a testament to his leadership, but it's the way he has guided us and built this culture that, in my mind, will forever be his legacy and my compass for where we go from here. So Jim, I'd like to say on behalf of all your investors and employees, we thank you. Okay. Operator, please, now, let's open the lines for some Q&A.
Operator: [Operator Instructions] Our first question today comes from the line of Brett Feldman with Goldman Sachs. please go ahead.
Brett Feldman: And congrats to Tom and Rod, well earned. And congrats, and thank you to Jim. It's obviously sad to see you go, but I do feel like this transition is natural and seamless, and I do think that it speaks volumes about the quality of the organization that you built and the legacy you leave behind. And so I'm going to take advantage of this opportunity to ask you one last question. When you and the Board were starting to design the company's expanded international strategy, which is, I don't know, 13, 14 years ago, you talked about a range of risks that the company was willing to take, a range of stresses that you thought you were designing your international operations to absorb. And while I'm certain you didn't anticipate this exact situation, I was hoping you can maybe remind us of those risk parameters, the stress points that you designed the business for so as we watch this pandemic unfold, we can assess for ourselves whether these changes are within scope or whether adjustments are going to need to be made.
Jim Taiclet: Sure, Brett, and thanks for your kind comments. I'll start it off and maybe turn it back over to Tom to speak of the plan ahead. But the range of risks that we anticipated was based on the fundamental risk we had at the time, which we were a single country, single-product company that had really large growth ambitions. And I think to risk mitigate that very high concentration in the U.S. tower market that we went on, as you described it, a 15-year sort of diversification plan. So we diversified among currencies, continents, countries, customers, markets, etcetera, to try to, as you would do, create a portfolio that grew over time that would mitigate risk and grow faster than otherwise we could have. And that's really the framework around what we've been doing for all that time since 2007 or so. So I think within that context, I could let Tom describe how he and perhaps Rod thinks that this can play out given the COVID-19. I think it's still within our framework, frankly, Brett. But let me ask Tom to comment.
Tom Bartlett: Thanks, Jim. And thanks, Brett, as well for the comments. I think, as Jim said, I mean, what kind of supports and underwrites the overall international strategy is it's the same business model as we have in the United States. It's not a new set of products and services. And so it allows us to take the model that we built in the United States in terms of how we look at an infrastructure, how we actually look at the master lease agreements and being able to take that offshore into those large, emerging market economies to be able to drive growth. The other piece that Jim talked about was the diversification. We underwrite these investments operationally, which I'll spend a minute some thoughts on it in a minute, but it's a very diversified portfolio. And so we are scattered around in 19 markets, 18 of which are outside of the United States. And we also think that, that serves as a useful way for us to be able to kind of underwrite the risk. The third is we're large incumbents. Our customers are the largest telecommunications companies around the world. So it's we're not dealing with consumers. We're not dealing with a number of small players. These are the large AT&Ts and Verizons outside of out of the United States. And operationally, when we look at the investments themselves, we're looking at them over a very long period of time, so we have a 10-year discounted cash flow, and we underwrite them with a risk-adjusted cost of capital. So we are caring for a lot of the risks that you would normally see. And they have escalators in them that are CPI based, utilizing local debt, reinvesting that cash back into the business. And so we think if we're able to do this in a very balanced way, a very diversified way, we're going to be able to successfully enjoy the growth that we're seeing from these markets that, as you all know, are anywhere from three to five years behind the U.S. from a technology perspective. So we think that's a sound approach, a balanced approach, again, to being able to kind of leverage all the opportunity we see offshore.
Jim Taiclet: Yes. And Tom, I'd like to just add one more point. We still got about 2/3 or more of the cash flow coming from the U.S. So it's grown just as rapidly. In fact, as the international has on a cash flow basis all for that 15-year period. So there wasn't so much risk mitigation that we ended up with, which was really turbocharging growth and keeping a similar risk profile based on diversification.
Tom Bartlett: Jim, if I could just add a couple of comments there in terms of our ability to build new assets in these international markets. When we build new assets, those are our highest yielding investments and we've been able to build a lot of assets around the globe, more than 4,000 sites last year. And this year, we expect to build even more than that. So it's a way for us to kind of expand our horizon and be able to deploy significant capital in the most productive way possible.
Operator: And we do have a question from the line of Ric Prentiss with Raymond James. please go ahead.
Ric Prentiss: Morning, guys. Well, the world certainly has changed -the world has certainly changed in the last two months since your 4Q call. First, I'm glad to hear, and I hope your family, you and your employees stay safe in this crazy time. I'll add my comments to say, Jim, I remember that non-deal road show in San Francisco. Must be almost 20 years ago as you were starting. And the world was in chaos then too, so you guys have navigated very strongly. And echo congrats to Tom and Rod as well. From a business standpoint, obviously, another thing that's changed is Sprint and T-Mobile merger has closed, finally. Dish-Boost might be closing soon. How should we think about the timing of working with them in what's going to be a very complicated process of integrating networks? Do we think of MLAs? Do we think of holistic approaches? And how long do those, generically speaking, how long does it take to kind of work through these complicated master lease agreements?
Tom Bartlett: Yes. Rick, I think with - first of all, thank you for your comments and your thoughts. T-Mobile and Sprint have been working and thinking about, I think, their network deployment plans for some time now. So now that the deal is, in fact, closed, we're now able to sit down with them in a meaningful way to talk about a number of different contractual structures with them. I mean, to this point, we've seen some level of increase in the pipeline, but it's still awaiting the bulk really of what we would expect to eventually come through as they ramp up their network deployments. And so we would expect that, as we said, more in the second half of the year to start up some of the more significant volumes. But these are multiyear master lease agreements that master lease agreement structurally that we would put in place. Clearly, we would entertain one of our traditional holistic agreements, where we think it makes sense for us, as well as makes sense for T-Mobile and Sprint. But I think you could be assured that there are significant conversations going on as we speak. T-Mobile is very anxious to get going in terms of being able to meet a lot of their network commitments, and they'll be very aggressive, I am sure. And we are very much committed to being there. And we'll want to tailor the MLA to really be mutually advantaged to both of us. And so that kind of those events will be going on heavily, I would suspect, over the next 60 to 90 days. 
Ric Prentiss: Great. And Jim, you mentioned your CEO panel committee in India U.S., India jointly working together on the COVID-19, great effort. Any updated thoughts on when the pacing of the payments and the AGR issue in India might be resolved? I'm seeing COVID-19 has kind of put things on a back burner. But I know we get a question a lot of times about when will the carriers know the pacing of that payment. any thoughts?
Tom Bartlett: Ric, just as an update. I think as Rod really mentioned, I mean, the process has largely been put on hold as have so many things as a result of the ongoing COVID pandemic. And so my sense is that I mean, and they're on, as you know, full lockdown in the country itself. So it's really status quo as we sit right now. We anticipate in the second half of the year there'll be further hearings to discuss the payment time line for dues and things like that. But everything is really on hold at this point in time.
Ric Prentiss: Makes sense. Again, I'll close with thoughts and hopes and prayers of everybody's family and employees make it through this crazy time. Thanks for taking my questions.
Rod Smith: Thanks, Ric.
Tom Bartlett: Thanks, Ric, and you too.
Jim Taiclet: Ric, thanks for your support, it's Jim, over those last 20 years and your deep understanding of our company. To underpin what Tom said on India very quickly, is that the telecommunication and digital infrastructure industry is one of the significant work streams of this group. And we've got great talent on both sides between American Tower. Sunil Mittal of Bharti Airtel is my sub-co-chair for the group on telecom and also Natarajan Chandrasekaran, who's my co-chair for the entire effort in India with Tata. We have really made some great progress on telecom. In general, we've gotten it on the top shelf of the government of India's consideration to strengthen this industry. And I think the AGR resolution will ultimately be included in how that industry has strengthened. That is becoming increasingly important during this crisis as you can imagine there as it is here.
Operator: And we do have a question from the line of Michael Rollins with Citi. Please go ahead.
Michael Rollins: Thank you, morning. I also want to extend my congratulations and thanks to Jim, as well as congratulations to Tom and Rod on their new roles. Maybe taking a step back you're welcome. Taking a step back to some of the comments you discussed on expanding the addressable market for revenue, and this is something that the company has been looking at for quite some time. Is there a way to just further put some numbers on the long-term opportunities to expand revenue, whether it's pushing the cloud to the edge with your towers, leveraging CBRS within the DAS strategy and potentially augmenting that and maybe some of the other initiatives that you've been pursuing in the international market?
Tom Bartlett: Yes. No, thanks, Michael, and thanks for your congratulations as well. We did set out revenue goals internally, and we've actually talked about them externally, that within a 10-year period, and this is goals that we actually set back in 2017. We would generate probably incremental $1.5 billion from innovation-related events and activities. And fundamentally, there are really two principal elements of those innovation initiatives. First of all, it'll be utilizing exclusive real estate rights and would be multi-tenant. So very much related to our existing tower business. If you kind of step back and you think about our innovation strategy, it's really based upon, again, this neutral multi-tenant connectivity platform, as I'll refer to it, with our own stack that includes exclusive real estate, passive infrastructure, power, transport, compute layers, and again, I refer to that as kind of as our ATC stack on our existing or on a new platform that we are currently building, platform ATC, if you will. I'm not a marketing guy, Michael, but platform ATC. So everything that we're trialing from our edge computing initiatives, power initiatives, our in-building initiatives, the ones that you were referring to, and the kind of the multitude of international access and transport initiatives, they're largely fiber based, are really meant to be constructive as we really build out this stack, if you will, on this platform. So it's not a vertical point solution, but really a broad kind of a horizontal platform, if you will, capable of providing really a myriad of connectivity services. So if you think about 2020, we have three or four kind of major initiatives going on, again, building out this stack, if you will, this platform, if you will. And the first one is what you referred to, is kind of building out our in-building capabilities. We're trying to drive down the traditional DAS costs that we've developed and segment that we've developed over the last 20 years. And we're really trying to open it up to increase the overall TAM. So we're using CBRS spectrum and really opportunities to increase the tendency as well as increase the offload from our customers. We're also trying to more fully develop what we call our transport layer of the stack. And we're looking at fiber to the curb shared initiatives to really facilitate multiservice providers, and we're doing that largely down in Latin America. You also referred to, and we're doing additional work on developing and exploring our edge-based distributed compute and mobile edge computing opportunities. And I mentioned some of those in my remarks, but we're really trying to leverage our Colo Atl [ph] asset in certain sites in our U.S. portfolio. And finally, kind of rounding it out, we're really trying to improve our overall power layer of the stack. We continue to develop a hybrid shared power solution really using historical diesel-fueled generator power with new lower-cost solar and battery packs. So it's a bit of a double click on many of the initiatives. But clearly, we're at the early stages of the development of this stack, if you will. But we do think, again, it's a very effective way to look at our ability to leverage our existing core set of assets and to be able to offer new types of services to existing customers as well as to new types of customers around the globe. So we'll talk more broadly about that. I think on an upcoming call, our second or third quarter call where we take a deeper dive into a lot of the innovation initiatives. But we're well on our way, and we're very focused and we're doing it, I think, very efficiently. We're not throwing money against the wall here, if you will, in terms of building it out. We're being very focused but we're and we're, as you know, I think we have a CTO that we brought in a couple of years ago that is really providing an overall oversight on these overall initiatives that we have. So as I said, more to come, and we'll feel this back even further in a couple of quarters.
Rod Smith: And Tom, if I could just add a couple of, I'm sorry, Michael, can I just add a couple of things to what Tom outlined? So I would just add that the strength and resilience of our underlying business really does help support our ability to be inquisitive and opportunistic when it comes to innovation. So our strong and kind of consistent adjusted EBITDA margins, north of 63%, are consistent double-digit revenue growth and the fact that our return on invested capital was north of 11%. That strength in the core underlying business, combined with our very strong balance sheet, again, the liquidity position that we're in at $5.2 billion and pretty low cost of debt at 3.1%, that balance sheet strength is ready to go to work and really does support our ability to be inquisitive when it comes to innovation.
Michael Rollins: Just a quick follow-up. Is there a risk that the activity in the bookings pick up in the back half of the year, as you described, but there are labor constraints to actually get the infrastructure on to all of the sites and so therefore, there could be the possibility of an elongated book-to-bill cycle entering into 2021?
Tom Bartlett: Michael, sure. I mean, that could always be. We haven't seen that necessarily. We're obviously given kind of the essential ticket, so we're able to be out at the sites, but it could be effective on or could affect our build-to-suit program. For example, we've actually come back a bit on the build-to-suit program. We think that those sites will ultimately be deployed, but the timing could be affected by construction personnel from being out of the site. And we are considered essential personnel. So we think that we won't see significant delays there. But as this continues to go along and if it intensifies, sure, that could delay some of the growth that we see in business. But more specifically, I think it's around build-to-suit.
Jim Taiclet: Yes. And Tom, I would just add, I think from an industry leadership position, we were - I think, instrumental with business roundtable in the U.S., the U.S.-India CEO Forum, therefore, in India, to get us in both countries that critical infrastructure designation, not only for our own company, but for our suppliers. And that still needs to be worked through a little bit more deeply in India. But in the U.S., I think it's pretty effective right now. So I expect, Mike, that we'll have a fairly capable vendor force available to us as well our carrier customers as a result of some of that leadership.
Tom Bartlett: Yes. And this brings a good point. I mean, one of our initial thoughts was would there be some issues from a supply chain perspective, and it's not necessarily bringing in big radios and things like antennas in, but it's usually that $0.50 part that might get in the way of actually deploying infrastructure. And we haven't seen that at this point in time, but and we don't anticipate it. But as I said, if this continues on, we think we're in a good spot, but and our customers are in a good spot, but time will tell.
Michael Rollins: Thanks.
Operator: And we do have a question from the line of Spencer Kurn with New Street Research. Please go ahead.
Spencer Kurn: Hey guys, thanks for taking the question. Just wanted to inquire about the M&A landscape. In periods of dislocation well, first of all, have you seen any better valuations on some international portfolios in this current dislocation? And I was hoping you could elaborate on your experience in prior periods of market turmoil. Have you found that these are these present opportunities for you to expand more rapidly than you've been able to in periods where markets are tight?
Tom Bartlett: Yes. No, Spencer. We always are looking at opportunities, M&A opportunities. As you know, we have business development teams around the globe. And it's a fairly lengthy number of opportunities that are out there, if you will. Whether they're COVID-19 related or not, there continue to be a lot of assets out there up for sale. Back in the 2008, 2009 time frame, there was a significant amount of growth. There were companies that were just distressed and looking to monetize their assets. And we actually were pretty aggressive back at the time and picked up some sizable assets. And so we'll see. I think we're in still early stages, if you will, in terms of the pandemic, in terms of its impacting a particular company's financial position. As Rod mentioned before, we have a sizable liquidity position at this point in time. So I think we're really well positioned to be opportunistic here. But we'll go back to our fundamental investment policy and the way we look at deals, and we'll continue to manage it and monitor it that way. And so time will tell. We just closed two transactions at the end of last year, which we're currently integrating and it's going very well. And so we'll continue to see how the year pans out. But as I said, I think we're in a good financial position to be able to strike at some of these to the extent they become available and make sense to us.
Spencer Kurn: Great, thank you.
Rod Smith: Sure.
Operator: And we have a question from the line of David Barden with Bank of America. please go ahead.
David Barden: Let me go everyone else's sentiments. Congrats, Jim, on a successful career and congrats, Tom and Rod, on your guys' elevation. I guess the question I want to ask you is the question I've been getting from a lot of investors, which is what is Tom Bartlett's American Tower going to look like in five years versus how Jim Taiclet's American Tower might have looked? Where is your ambition? What is your strategic goal? Jim, a few years ago, came up with this idea that you wanted to double the size of the company and achieve that goal. What are you ready? Are you able to articulate kind of what your vision now for the company might be and how that might be similar or different from the vision that we've kind of all understood American Tower has? And then let me just ask that.
Tom Bartlett: Yes. No. Thanks, David, and thanks for your congrats as well. We've got an excellent strategic and tactical blueprint that I believe that's in place that Jim and I, and the rest of my colleagues that we developed and that we're currently executing. We refer to it as is our Stand and Deliver strategy. And as you know, there are four key elements of it. There's industry leadership. There's a focused innovation process, one that I just talked about a few minutes ago. It's enhancing our efficiency initiatives. And it's a continuing drive for growth, profitable growth, sustainable growth, both organically and inorganically. I think that the way we have consistently thought about creating shareholder value based upon sound principles, around capital allocation and investment criteria, our dividend policy, the way we manage our balance sheet, is absolutely sound. So I mean, I don't see any changes to the way that we've been operating the business, and clearly, no changes to the blueprint that we really have in place. I think that the existing team is outstanding. And so now it's up to us to continue to execute. Will we adjust it and tweak it as the market evolves? Absolutely, as we have continually doing. And as we have done over the last 10, 15 years, if we need to, just, as I say, just as we always have. But the fundamentals are solid. I mean, I don't have any grandiose notions that, okay, we're going to be a $20 billion business by 2025. If that happens, terrific. But we're just going to continue to keep our heads down, really move on the strategy that we've got in place. I think that there are as I was talking a few minutes ago, I think there are a lot of really interesting elements of our innovation strategy, which I think are going to increase the overall addressable market that we're going to be able to take our fair share of. And we're going to continue to globalize. We're a very good and very big international business. I think that there are opportunities for us to continue to globalize, particularly when you look at some centralized global business, operational centers that we have. And so I think there are a lot of things that we can do on the efficiency side. And on the leadership side, Jim is really he's got big shoes to fill on the leadership side, and I think we've got a lot of opportunity to continue to really push the envelope in terms of how we're positioned in all the markets that we're in. But when you kind of step back and you look at our inventory, we own about 1/3 of the inventory the assets, if you will, of the 20 market, 19 markets that we're in. So there's a lot of opportunity for inorganic growth. And I think we've got a great business model to enjoy organic growth going forward. So I think we've got the fundamental pieces in place. As I said, we'll tweak it and adjust it based upon where the market is and how the market evolves. But feel very good about the blueprint that we've got in place.
Jim Taiclet: And David, to bring it full circle, when we embarked on our international strategy in '07, it actually positioned us to have, as the circle closed in, say, 2017 through 2025, it gave us the opportunity to potentially expand our U.S. domestic business because our innovation program could then kick in over the U.S. and our international portfolios. It gave us a character that no other tower company in the world has, where we can work with new types of customers like hyperscalers, like big real estate owners that span countries. And we're the only one that can take that dimension of an innovation program on digital infrastructure and circle it back to the United States and maybe even grow faster here over the coming years than we otherwise would have without the Stand and Deliver strategy in the international assets, David. So I think there's some real blue skies here for Tom and the team to pursue under the strategy. And I agree that I don't perceive any big deviations from that based on the fact that this is the same exact team that put the strategy together and executed it for 12-plus years with the people on the call we have right now. So I think we're going to be having really exciting times at ATC going forward.
David Barden: That's great. Thank you for that, Jim. Appreciate it. And look, everybody.
Jim Taiclet: Thanks again.
Operator: And we do have a question from the line of Simon Flannery with Morgan Stanley. please go ahead.
Simon Flannery: Thank you very much. Good morning. Let me add my congratulations and best wishes to the team. On the mobile edge compute, can maybe you can just give us some sense of what you're seeing in the current market environment. We've seen strong demand for interconnection, etcetera, in the COVID world. What's going on with the Colo business you have today? And as you think about taking advantage of that opportunity, do you think you need to add additional assets more across the country and in other markets to expand that on that opportunity?
Tom Bartlett: Yes. No. Thanks, Simon, and thanks for your congrats as well. I think when you kind of step back and you take a look at our overall edge computing initiatives, I'd really look at it in kind of two pieces. First of all, from a pure distribution or distributed compute perspective, those are aware we've actually had some early-on successes, and this is where we're actually putting cages out at our particular sites. And we're offering edge computing to enterprise, smaller enterprise, midsized enterprise accounts, where they're looking to perhaps move to the public cloud and just looking for some of their workloads to being more distributed. So that's the kind of the easy element and the easy piece that I think we've experienced. And then the second, more complicated piece, candidly, is on the kind of traditional mobile edge computing. And I see this from a number of different elements. I see this from the data center side, we're obviously looking at it from the hyperscaler side. And this is where we're looking at the opportunity for lower latency types of needs that we think are going to be ultimately developing out at the edge and how we might be able to participate in that. And so we have, as you know, the Colo Atl facility that we picked up a couple of or last year, really. And we're looking to interconnect that offering and kind of access to the cloud and trying to interconnect it back to our own sites themselves with the compute power that we're putting out at the sites to see what that ecosystem, if you will, looks like. I don't actually know how this is all ultimately going to pan out. I don't know the relationships that we're going to see with the hyperscalers as well as with the carriers. We see a lot of initiatives going on between Amazon and Google and Azure in terms of how they're looking at the C-RAN and how they're working with AT&T and Verizon and getting further and further out to the edge. We think that we have some very valuable assets that can be part of that overall solution. And we're looking to be able to kind of leverage the assets that we have to be able to support that. But this is going to be something that, as I mentioned before, it's going to take a while to figure out how to scale. I don't think that without the kind of the whole vehicle element here, with all the IoT element here that it's really going to be something that we can scale efficiently. But that's probably three to five years away. And so we're participating in a number of different trials. As I said, we're taking advantage of this kind of distributed compute capability, and we're trying to figure out how we might fit into the overall mobile edge computing environment going forward. So more to come on that. But as I said, I think we've got some very valuable assets there that can play a meaningful role in some way.
Simon Flannery: Great, thanks.
Operator: And we do have a question from the line of Colby Synesael with Cowen. please go ahead.
Colby Synesael: Great, thank you. And also just want to extend my congratulations to everyone. I guess, just my first question, you had mentioned some counterparty risk in India. I'm just curious if there's any other areas that you think we should be paying attention to or that you're paying attention to, particularly in the COVID-19 environment. And I guess somewhat related, you mentioned in the international markets, at least, right now, you're actually seeing increased usage, particularly in countries where their wireline networks aren't as strong. Do you think that, that will ultimately translate into incremental revenue? Are you starting to have those conversations now? Although on the opposite side of things, do you actually think that given some of the economic pressures that some of those international markets are going to be seeing, we could actually start to see the opposite where they actually start to pull back on some of their Investments? Just trying to get a better sense of what's winning out.
Tom Bartlett: Yes. Colby, on that particular question, I think because of the lack of the wireline presence, I think the governments themselves are going to continue to put pressure on the carriers themselves to ensure that their connectivity continues. And as Jim said, we've been on to some tables with WEF and talking with some of our customers there. I mean, they're all essential and they're incredibly important in terms of ensuring that their customers are connected, particularly with this disease that is so isolationary. So yes, I think that, that demand is going to continue there. As Rod kind of walked through some of our growth rates, we're looking at kind of that 7% to 8% growth rate in Latin America and up in the high single-digit growth rate in Africa. So we're - I believe that, that kind of the growth is actually going to continue. There will there be issues associated with collections and delays and things like that, internet? We haven't seen it, candidly. But to the extent that this continues, sure, that can always be something that we'll that we might see. But we're monitoring it closely. We have obviously, very close relationships with our customers. Our infrastructure is critical to their ability to be able to continue to meet the needs of their customers. So I think we'll be able to manage through that. But we're monitoring it, and we'll watch it very closely and work with our customers to be able to, for all of us, to be able to get through this pandemic. On your first question, could there be delays in organic growth, and we've mentioned some of the delays in the build-to-suit program, the collections issues that we're seeing in India, we've been managing and monitoring those for many years. And so we're working again with our customers. We have an incredible management team in place there who have really terrific relationships with our customers. And so we'll work with them. But ultimately, I think we're in a good position, again, kind of given the critical nature of our infrastructure and that being infrastructure that's really going to allow us all if you kind of get through this pandemic itself.
Rod Smith: And then Tom, if I can just add one additional point on the collections issue in India, Colby, that you raised. So when we think about our customer base globally, it is a very strong customer base, large multinational carriers, most of which are investment-grade carriers. When you look at our collections, and when you go through the press release and you see the increase in our accounts receivable, the vast majority of that increase comes from India. In India, I'll point to one customer in particular, which is BSNL, which is a government-owned entity, and that entity has a long history of paying their bills. So we do expect that when the government funding comes through and that could be impacted because of the COVID-19 situation in India, when that comes through, we do expect that those receivables will be paid through that customer. Again, our local teams in India that have a very close relationship with BSNL, they've been through this before. That carrier pays their bills from time to time. They do have to wait for government funding, however.
Colby Synesael: Great, thank you.
Rod Smith: Thanks, Colby [ph]. I think we have time for one more question. Operator,
Operator: And we do have a question from the line of Brandon Nispel with KeyBanc Capital Markets. Please go ahead.
Brandon Nispel: Great. Appreciate you guys squeezing me in. A couple of three questions. Can you guys quantify for us the backlog in terms of new lease applications that are signed but not on air in the first quarter on a year-over-year basis? And maybe some color on how that trajectory has maybe changed through April here after T-Mobile closed? Second, can you give us what the kicker was on the MLA from AT&T this quarter that may not repeat in the second quarter? And third, maybe just a bigger picture question on 5G. Have you seen enough from your customers for you to see what like a standard configuration that they're going to put up for 5G and what that might mean from an amendment standpoint in the U.S.?
Tom Bartlett: Yes. Sure, Brad. Let me take the kind of the 5G question, and then I'll ask Rod to kind of manage through the other myriad questions that you asked here. On the 5G side, I think all the carriers themselves, as I mentioned, have taken kind of their own unique approach to being able to deploy it. I mean, if you take a look at Verizon on the millimeter wave, they're in 34 cities, 17 NFL stadiums. On the sub-6, they're talking about using dynamic spectrum sharing, no stated time lines. AT&T in the millimeter, they deployed 5G in, I think, roughly 35 cities. They're adding new 5G cities this year. They have a sizable amount of millimeter-wave spectrum as well. And then in the sub-6, they're providing 5G in, I think, upwards of 100 markets using kind of low-band 5G. And T-Mobile have also taken a very different approach, largely leveraging their sub-6 spectrum now with Sprint with their 2.5 gig kind of sitting on top of a lot of their 600 megahertz spectrum, but they also have a sizable amount of millimeter-wave spectrum. So I think all of the carriers have taken very different approaches. All ultimately will be circling around kind of this 3-level layer cake, as I've talked about before, where it's at the very base level, kind of the sub-2 gigahertz level, good propagation, limited capacity, but really, it'd be able to get kind of nationwide coverage. The mid-band, which we've talked about, the CBRS and C band, which we think will ultimately be auctioned off this year, improved capacity, lower propagation. And then the millimeter wave, and they'll look at millimeter wave as being that spectrum that you use for dense urban and urban markets. So I think the carriers themselves, as they've always had, are going to leverage the spectrum that they have. They're going to try to put their hands on more spectrum, as they always have, to be able to come up with this kind of this 3-level approach to being able to deploy 5G. And as I said, it's I think it's on our doorstep. And we'll be seeing it over the next several years get built out. I think some of the forecasts are saying that by 2025 or 2026, 70-some-odd percent of the traffic will be 5G based. So I just think they're going to continue to look at various forms of spectrum, and it's the propagation characteristics are very different, as you well know, but they'll take advantage given the kind of geography that they're looking to support. And Rod on the other?
Rod Smith: Yes. Sure, Tom. So thanks for the question, Brandon, and I'll address the organic growth and what we expect kind of going forward. So if you look at our Q1 earnings, we came in for organic tenant billings growth, the total company was about 5.4%. U.S. was about 5.6%. International came in at 5.1%. If you look at our outlook for the full year, we're expecting total organic tenant billings growth to be about 5%. In the U.S., we expect it to be about 5%. And internationally, we also expect it to be about 5%. So certainly from that perspective, we do expect a kind of a deceleration in those growth rates throughout the quarter. So I do think you'll see that in the first quarter here, we'll post the highest organic tenant billings growth compared to the next three quarters for the year in order to come down to hit those full year organic tenant billings growth rates that we talked about. Of course, those organic tenant billings growth, I guess, I would point out, Brandon, that a big contributor to the organic tenant billing this year is what happened last year. So we still see a good level of activity coming in for the year. The timing of when that activity comes in is a little bit there's a timing issue between quarters, particularly when you think about some of our larger U.S. customers that are under MLA agreements, where the timing of their increases on a quarterly basis could certainly isn't smooth. So we end up, which is a good thing for us, with a bump in Q1, which gives us a full year benefit for a lot of those increases. But in the next few quarters, we will have a lower increase, but it doesn't that won't necessarily be able to translate into lower activity or lower demand for the site. It's really just the timing of the new business increases as per our large MLAs. So I think that's kind of, in a nutshell, without going too much further into individual customers. We do expect a deceleration. I think if you look at our organic tenant billings growth rates and our outlook, we're going to come in right around those levels. That's our best guess at this point. And again, when you see that deceleration, it's not because of a drop in activity levels. It's really mostly driven by the timing of some of the increases for our MLAs.
Tom Bartlett: Great. Thank you, everybody, for being with us this morning. I know we went a little bit late, but I really do appreciate you hanging in there with us. And again, as we've all said, be safe, really, in this environment and keep your family safe, social distance and be well and look forward to catching up with you. Thanks, again.
Operator: And ladies and gentlemen, that does conclude your conference for today. Thank you for your participation and for using AT&T conferencing services. You may now disconnect.